Xavier Rossinyol: Good morning, good afternoon. Thank you very much for everybody that is here physically in Zurich. Also, thank you for the people on the video call. Today, Yves Gerster, our CFO; myself, Xavier Rossinyol, CEO, we are going to present the full year results for Avolta 2024. I'm going to go straight to Page 4, where we have the highlights of the year. The total turnover growth at constant exchange rate has been 8.9% last year. Organic growth of 6.3%. If we exclude the effect of Argentina that basically Argentina had especially good 2023 because of exchange rate. If we exclude Argentina, the organic growth on a comparable basis is 7.7% for 2024. Core EBITDA has increased faster than revenues, expanding the EBITDA margin by 40 basis points from 9% in 2023 to 9.4% in 2024. Equity free cash flow has reached CHF425 million which is a 32% increase and almost 500 basis points of equity free cash flow conversion. All these numbers are in line or ahead of our own expectations and our own outlook. The year 2025 has started also very strong. Organic growth at the end of February is 6%, but we need to remember that last year was a leap year. So you have one extra day of sales in February last year. If you discount this effect, our organic growth would have been 7.7%, perfectly in line with the exit of last quarter 2024. First quarter '25 will have several seasonality effects, the most important one, Easter. Easter this year is going to be in April. So we will be able to fully analyze the first quarter only at the end of April. This is something that happens every year where Easter moves from March to April. Second highlight, consistency. We have announced our capital allocation, and we are consistently delivering on that. I'll come to that in more details later but deleveraging again significantly. Our net debt to EBITDA this year has -- last year, 2024 has dropped to 2.1, which is 0.6 improvement with prior year. If you discount the effect of the share buyback, our net debt-to-EBITDA would have been already below 2x at 1.9. We have canceled in 2024, 4% of our shares as a consequence of the share buyback we did last year and as you know, we already launched a new share buyback program for '25 in January that will be another CHF200 million and we are announcing today also that the Board of Directors will propose to the next General Assembly an increase of the dividend to CHF1 per share, which is an increase of 43%. So clear focus on shareholders' return. Last, we are also consistently delivering on the commercial and digital transformation. I'll go into more details later on, but both on the physical and the digital spaces and also a strong business development in '24 and good opportunities in '25. Key message of this slide is the strength of our portfolio. As you know, we are in 70 countries with more than 5,000 points of sales, and it's a very resilient portfolio as a consequence. It's diversified geographically, 51% in EMEA; 32% in North America; LatAm, 12%; APAC, 4%. On business line, it's almost a perfect diversification a one-third duty free, one-third in duty paid, one-third in F&B. Airports remain our main channel with 81% of the sales; motorways, 10%; and other channels that includes cruise lines, ports, railway stations and a few others, 9%. And also a very balanced distribution of the category portfolio. 2024, all the regions contributed positively to the like-for-like and the organic growth, 9.4% in EMEA, 5.6% in North America. If you correct the Argentina effect, 7% in LatAm and 6% -- sorry, 12% like-for-like in Asia Pacific. Last quarter, in like-for-like, very similar once you discount the Argentina effect. Of course, the regions change. And that's an important thing I want to emphasize. Depending on the quarters, some regions accelerate, some regions decelerate. Our business is related to seasonality, to festivities, to the number of weekends, et cetera, et cetera. This year, Ramadan has moved, New Chinese New Year has moved. So all those things affects the quarterly. But the strength of our portfolio is precisely that some regions compensate other regions. You might remember, over the last 48 months, we have been concerned sometimes about the Chinese consumption, sometimes about the Middle East crisis, sometimes about the Ukraine war. But over and over, we have reported a strong consolidated numbers, and that's what we expect also for 2025. Key highlights per region. EMEA is our largest region with CHF6.9 billion sales, has grown 9.4% organically. It has been a strong growth in all material geographies, strong in the southern Europe, strong in the U.K., in Italy, most of Central Europe, still the lagger is the Nordics. The Nordics is clearly affected for the last three years on the restrictions on the Russian aerospace because of the Ukraine war, if that will change, of course, this would be a positive effect for us in that part of the geographies. Also, interesting developments in Middle East and Africa. On new business, we had -- you can read it, new business in Serbia, in Bulgaria, in Scotland, in Nigeria, in Türkiye, and we entered two new countries, Saudi Arabia and Tunisia. Very relevant on this region is the refurbishment of the Spanish locations, two-third of the refurbishment for the Spanish network have already been completed this year -- last year and another one-third to come this year. And I confirm that the Spanish concessions are going in line or better than initially expected when we signed the new contracts a little bit more than a year ago. And you have one example of a finished store in the picture. This is the Barcelona Airport. This is a new duty-free store. And one of the things you see in the middle, I'll come to that later, is an F&B location. So it's not only an upgraded, but it's also a partially hybrid concept. North America, also good growth in 2024, 5.6% organic growth despite being an extremely challenging year for that region. As you know, it is the region most affected by the delay on the delivery of planes of one of the manufacturers, also have capacity constraints because of that in several of the key airports in North America, and the weather conditions have been the most extreme that are on recollection with the wildfires in California, with stronger winter storms than usual and some hurricanes going to almost half of the country. Despite all that, it has been a strong performance in 2024. Business development, extraordinary year for North America with wins in Terminal 8 and 6, is missing here also Terminal 4 of JFK. We point this out because JFK is one of the largest airports in North America. It's also the one that is going to be involved with more transformational investments over the next two, three years. And what is important for me is to point out that we have won duty free, duty paid, F&B and hybrid concepts on those terminals. Very good retention rate of 91%. And the last point that we disclose here is a market share in North America. I do not believe market shares are relevant metrics in this business. Our focus is not on market share. Our focus is on cash returns and profitability of the concessions. But as some market players emphasize this metric, we just wanted to say we have 33% market share, which has been stable or slightly better for the last five years. So we keep growing like the market or a little bit more. Also, an interesting picture, a hybrid store which includes Starbucks and includes a retail concept side-by-side, sharing the same space. Next is Latin America. Latin America has grown 7% when you discount the effect of Argentina. Just to be clear, Argentina had especially good year in 2023 because of some exchange rate. The situation is normalizing. Argentina 2024 is a normalized year and also started on a normalized level for 2025. So Argentina will stop being a factor that negatively affects our performance. Performance has been good in 2024 across the region, Brazil, most of the Caribbean, a little bit weaker in Mexico, also very good developments on the Norwegian cruise line ships. On the business development side, we have opened the first hybrid concept in Latin America in 2024 in Mexico City. And also, we have signed an agreement in Sao Paulo/Conghonas for retail and F&B. They are still small operations, but it's the first time we have food and beverage in Latin America, hopefully, the beginning of a much bigger development. Here for Latin America, we have chosen an entertainment campaign that was done for Halloween. I find it super cool, obviously, I have a video later on because this would not be a presentation without a video. Last region, Asia Pacific. Asia Pacific, you might remember, we announced in 2023, we will start before growing, a restructuring program to exit the unprofitable operations, and that's what we did. That's why this region has the bigger difference between total growth and organic growth. If you look at organic growth, like-for-like growth, is more than 12%, showing that now we are in the path of growth in Asia Pacific. Everybody asked about the Chinese. We keep repeating, Chinese passengers are less than 2% of our sales. And we expect spend per passenger of Chinese to remain at current levels for quite a while. Despite that, the number of Chinese passengers slowly will grow, and Chinese will be a positive contribution. But our presence in Asia Pacific also includes Vietnam, includes Indonesia, includes Malaysia, includes India. We had business won in Australia, in Indonesia and India and some master concessions, showing that the hybrid concepts are also expanding in Asia Pacific. As you know, we announced the purchase of some concessions in Hong Kong called Free Duty, that will provide CHF250 million of additional sales for Asia Pacific in 2025. It's fully consolidated as of January, which means that even if all the regions will grow, probably the share of APAC in our portfolio will go from 4% to 5%, maybe even 6%. We've chosen as a picture, Bengaluru airport where we have one of the most advanced digital and physical stores in the airport portfolio worldwide. But apart from financial performance, growth, business development in each of the regions, we are also committed to the commercial and digital transformation. I have two slides. The first one on the physical spaces, the second one on the digital transformation. We've been introducing over the last two years and in '24 a clear acceleration, innovative new concepts. We have refurbished a material number of shops across the board, bringing our stores and restaurants to a next level of customer centricity. We are using more digital inside the store. We are strengthening the local presence, both on products and -- look and feel. Particularly for tourist, the local feeling and the local adaptation of the store is fundamental for growing sales. We have, today, already up and running 20 hybrid concepts worldwide, and we already explained that in places like the U.S., the number of hybrids on the tenders is very material. Last year, it was -- 25% of the spaces were reserved for hybrid concepts. And we are pushing very hard and very strongly for entertainment. Entertainment that includes global and local festivities, sport events. We did Formula 1 in Las Vegas, for example, very interesting hybrid concept. Gaming, I'll come to that in a second, also a very interesting way to attract new type of passengers into our stores and restaurants. Two pictures. First one, never seen before commercial concept, a real one, we opened in Abu Dhabi. It's called Presented By. It includes sneakers, pre-loved handbags and pre-loved watches. It's 3D printed in a material that absorbs CO2. It's a way to attract a much younger population that may learn about the store through social media. Of course, this is not instead of the general duty-free stores, the general convenience, the general restaurants, it's on top. We keep running the main business to maximize sales and profits, but we keep adding these innovation concepts to make our stores and our locations more attractive to new constituencies of passengers. Second picture, Hungry Club, this is a concept we developed with David Munoz, a 3-star Michelin chef, very cool, a person. It's a street food, it's inside our duty-free stores in Spain right now, and it was selected a week ago or two weeks ago by Bloomberg as one of the top 8 airport restaurants in the world. These are the type of things -- and just two examples, I could be talking for five hours, but our IR said that 45 minutes is the maximum we should be spending but we are moving ahead on the commercial centricity on the physical space but also on the digital space. Number one, Club Avolta. You know this is our loyalty program that we launched in September last year. It covers now 95% of our points of sale, so close to 5,000 points of sales accept Club Avolta, those includes duty-free stores, specialty stores, convenience stores and food and beverage. It's the first time you have a loyalty program in travel that is accepted in all those locations. And Club Avolta, it's more than specific advantages for the shops or the restaurants, we also provide services in VIP lounges, we link it to your preferred airline or hotel chain loyalty program, 200 unique experiences you can enjoy, you have to be loyal member and spend a bit of money. It's not for all loyal members, but the more you spend with our loyalty program, the more benefits you get. And there is a very clear plan over the next few quarters to keep enhancing this loyalty program. The start has been clearly ahead of our own expectations. Today, we already have 10 members -- sorry, 10 million members in Club Avolta, 5% of our revenues in 2024 came from Avolta -- Club Avolta users. And the average ticket value, ATV, for loyalty members is 3x the average. Another piece of data that is not here, but I find particularly interesting, in our aim to make Club Avolta interesting to new people, we added a gaming feature in the loyalty program, pure gaming. Today, in five months, or less than five months, we had 130,000 gameplays on the app. That means we are already -- even if the numbers are small, we are already getting into a new level and a different level of connection with travelers in between travels. Our digital transformation is not only Club Avolta, which is probably the most important, but not the only one. We have launched also Avolta Next. This is our platform of collaboration with the startups. We already have three active technology implemented on the shops to improve the day-to-day of the shops that came from startups. We have an innovation center for food and beverage implemented and open in Milan. We have 450 smart stores. That's camera analytics and other software that helps to improve the way we manage our shops and restaurants. And many more. For example, almost 50% of the sales in the U.S. today are in the duty paid, in the convenience stores is done through self-checkout. And we are also leveraging on artificial intelligence, even if it's early stages, again, with the purpose to improve the way we manage our stores. There is already up and running an Avolta GPT that is for our shop managers to improve the way they should organize the store depending on the moment of the day. So clear delivery on the physical spaces clearly delivering on the digital transformation. And why we do that? We do that because we think a customer centricity will allow to increase the sales, bringing more people into the stores and increasing what they spend. Because of that, it will help business development because supports -- the increased sales supports the financials of our airports and also it's a different way to attract the brands and the advertising income from the brands. So all this transformation, which is only possible, thanks to the merger between Dufry and Autogrill, are we able to uplift. It's the hybrids, it's the cross-selling, but it's also the use of data. Club Avolta will not be even a fraction of as successful as it is if we will not have access to the combined number of passengers. And before I give the mic to Yves, I have a small video. We had some discussions if this video was proper for a full year presentation, and we decided that probably not, but still, we are going to show it because it's fun. And it shows that we try to approach also our relationship with you like we approach the relationship with the customers in a different way, innovative, we want you to look forward for the next time you're going to fly to have some time on our shops or restaurants. And two small things, these people you saw, they are not professional actors. It's our own shop floor team members that were trained for that, and they volunteered to do that. And yes, it does help the sales because as you can imagine, you see one of those, you stop in front of the store to see what's going on and then the likelihood that you spend some money is higher. So it's not only fun, it's also a good business. Thank you. Yves?
Yves Gerster: Thank you very much, Xavi, and good morning and good afternoon to everybody in the room and also on the line. You have seen some impressive innovation, some impressive new concepts presented by Xavi and obviously, also an exciting video. So it's difficult to beat that. But I think I can manage. And as a spoiler, the star is on the right side with the equity free cash flow performance of 2024. But let's go step-by-step, starting with the revenue. The group has generated CHF13.5 billion of revenue last year. That's an organic growth of 6.3% and even more exciting, at constant exchange rate a growth of 8.9%. And this compares to the guidance we have provided, the medium-term guidance of 5% to 7% in the medium term. Looking at the profitability, EBITDA came in at CHF1.267 billion. That's an EBITDA margin of 9.4% or an improvement compared to 2023 of 40 basis points. As a reminder, the outlook we provide, the medium-term guidance provides an improvement year-on-year of 20 to 40 basis points. So the 40 basis points we are reporting this year is at the higher end of the outlook provided. And again, the star of the presentation when it comes to the numbers is the equity free cash flow with CHF425 million equity free cash flow generated in 2024. That's an improvement of CHF102 million compared to the previous year and an equity free cash flow conversion of 33.5% versus 28% the year before. So an improvement of 490 basis points year-on-year versus the provided outlook of 100 to 150 basis points improvement per year, so around 3x as much. But let's look into the performance in more details, starting with the P&L. I will not go into turnover again. We have commented on that already, but directly on the gross profit margin. Gross profit margin improved by 90 basis points, and that's predominantly coming from three different areas. On one hand side, by the synergies generated after the combination with Autogrill. As a reminder, all the synergies, the CHF85 million, are fully reflected in the P&L of 2024. Number two, from the initiatives Xavi has mentioned, they start obviously to kick in and to generate revenues and also performance; and number three, related to the strong demand by our customers, which remains unbroken. If we look further down in the cost structure, concession expenses are flattish year-on-year. There's a small improvement, predominantly coming from mix effect. And then when we look at personnel expenses and other expenses, there is one key element there to note, and that's the combination with Autogrill. As you know, we have started, or we have basically closed the transaction at the beginning of April 2023. So if you compare 12 months on 12 months, actually, the line would improve as we are looking here at 11 months only in 2023, you see a slight deterioration when it comes to personnel expenses. But also there in personal expenses and general expenses, synergies are actually kicking in as mentioned before, the full CHF85 million. EBITDA margin, I've already mentioned, improvement of 40 basis points. And then the remaining part of the P&L, there is not that much to be reported. Financial result is a consequence of the refinancing done last year on the one hand side as well as in 2023, we have the combination with Autogrill. So we had the bridge financing reflected there, but also there, deleveraging, refinancing obviously helps to reduce cost going forward. Profit to equity holders came in at CHF386 million. That's 2.9% over turnover, an improvement of 25% versus the previous year. If I move on to the cash flow statement. As mentioned before, super happy about the result, CHF425 million of equity free cash flow, it's clearly ahead of expectations and also ahead of the outlook we have provided as well as consensus. Basically, if we look at the single lines, there is nothing which is out of the ordinary. And what we want to confirm here is that we take that equity free cash flow as the new base going forward. So this regarding the fact that we are performing significantly better than the outlook provided and also consensus. We take that as a new basis going forward. So from that perspective, from here from the CHF425 million we do expect year-on-year in the medium term to generate 100 to 150 basis points more of equity free cash flow conversion. Looking into the balance sheet. Also here, not that much to be mentioned. Just three points. Number one is you clearly see that we have done some new concessions and some extension of concessions, which is reflected in the increase of right-of-use assets and corresponding on the liability side, the increase of lease obligations in a similar amount. Number two is the slight increase of inventories by around CHF200 million. That's reflected by the strong demand we have observed in the business and obviously also the growth of the business by around 7% to 8% last year. And last but not least, on the equity. The equity remains flattish. On one hand side, that's by -- affected by the increase of retained earnings we have seen during the year on one hand side, and then on the other hand, by the share cancellation and the dividend we have paid in 2024. Looking at net debt and leverage. Net debt is at the lowest level in more than a decade. Same applies for leverage. Leverage is obviously a combination of the financial performance of the organization as well as the combination with Autogrill, which has been paid predominantly with equity. As you know, we have a target outlook for the leverage of 1.5 to 2x. We are reporting at the end of the year, 2.1. Net of the treasury shares we bought and have canceled at the end of 2024, we would actually be at 1.9. So bang in line with the medium-term target of 1.5 to 2x or actually at the upper end of the boundary but in line there, and we will come back to that in a minute. As a consequence, also initiated already a share buyback initiative for 2025 of up to CHF200 million. The last point I want to mention here is the rating. We have received a number of rating improvements already in 2023. But even in 2024, we have received upgrades by Moody's and Standard & Poor's and are now rated BB+, so just right below investment grade by S&P. And by Moody's with Ba2. So a pretty significant improvement versus 2022. On the maturity profile, picture remains unchanged. It's a very balanced maturity profile in all different levels when it comes to maturities, remaining duration of the different facilities, different products we are using. So we have convertibles, bond and also bank debt in the form of the RCF, when it comes to fixed and floating debt and also the mix of currencies. So very balanced also in that regard. We have extended the RCF in 2024 in the last quarter by two years. So maturity was in 2027, now it's in 2029. And we were able to significantly reduce the margin we are paying under the facility, generating CHF10 million of savings per annum. And the last point I want to quickly mention here before I hand over to Xavi is the maturity in 2026. We have two facilities coming up for renewal. It's the convertible bond of CHF500 million and the CHF300 million bond, which both mature in 2026. As always, we will refinance those maturities ahead of maturity. And we also have sufficient liquidity already in place in the form of the undrawn RCF on one hand side as well as in form of cash. We have in excess of CHF700 million cash on the balance sheet. So there's no refinancing risk when it comes to those two facilities. But again, we will refinance them ahead of maturity. Having said that, I hand over back to Xavi.
Xavier Rossinyol: Thank you, Yves. Medium-term outlook. A boring slide because it's exactly the same one that we had in the last few quarters. Our outlook for the midterm, these numbers, as you all know, are per year is to grow organically the revenues between 5% and 7%. To expand the EBITDA margin between 20 and 40 basis points per year, and to continue expanding the equity free cash flow conversion by 100 to 150 basis points. And this outlook remains unchanged despite 2024 has been particularly in the equity free cash flow way ahead of the initial expectation. So in -- from a much higher base, we continue to see optimization on the existing business. On capital allocation policy, again, a strong consistency. It's the same thing we have already explained in the past, three points, and in this order: Priority number one, to keep growing the business. Store network upgrading, business development through new locations and digital transformation. Potentially also some bolt-on, medium, small-sized M&A, finance with cash to reinforce the portfolio on the right locations. Growing the business, but at the same time, very clear focus on balance sheet efficiency. Strong credit rating, as Yves just explained, and we keep the target to keep deleveraging and have a net debt to EBITDA of 1.5 to 2x with flexibility to go a little bit up to 2.5 if there will be enough opportunities of growth. And the third clear priority is to keep proper capital returns. One, through a progressive dividend because our capital allocation provides that one-third of the cash flow will go to dividend and as cash flow grows or is expected to grow every year, also the dividend, 43% growth this year to be proposed to the General Assembly. And second, distribution of excess cash after the growth and after the deleverage via share buybacks as we did in '24, and we have announced for '25. This management team, like the market, is focused on the metrics per share. The dividend I already explained, but when you see it in the graphic, it's more obvious from CHF0.7 per share to CHF1 per share, which is a little bit more than the 33% of the cash flow of '24 we just rounded up. Second, share buybacks. We reduced 6 million shares last year, 4% of the capital, and there will be, as you know, during 2025, a further decrease by another CHF200 million. If you combine both dividend and share buyback for '24 and '25, you will have CHF304 million of cash returned to shareholders in '24 and almost CHF350 million in '25. Combined, cash returns to shareholders of CHF650 million in two years on top of the growth that we explained earlier on. And before I go to the conclusion, one final slide on corporate governance. We've been receiving feedback from key players in the equity markets that there were some matters that Avolta had to address in a different way. Number one, the use of equity. So I'm happy to announce that the Board of Directors will be proposing to the General Assembly of May 25, a change on the capital range. Capital range, as you know, is the capacity to issue new shares by the Board. Today, it is plus 10% -- plus 20%, and it will be reduced to plus 10%. So a clear move on consistency with our capital allocation policy. We will remain the minus 10% for share buybacks, but that has no change. We also received feedback on remuneration, and we are also step-by-step aligning remuneration with market request or requirements. The total group Executive Committee remuneration, the senior management remuneration in '24, it has been reduced 24% versus previous year. And we are also aligning more and more the KPIs for the short-term and the long-term incentives to market requirements. We will be adding core EPS on the short-term incentive plan. We are also making the clearest disclosure on that we have done so far. So for the STI, short-term incentive plan, 25% will be core turnover, 20% will be core EBITDA, 20% will be equity free cash flow and 35% will be core EPS. For the long term, as you might remember, total shareholders' return was not included in the past. It was 25% in 2024, and it will go up to 50% in 2025. To -- 50% relative TSR to Euro Stock retail and leisure index, 30% core EPS over three years and 20% sustainability. The proposal to the maximum remuneration to the AGM will be flat for management and a slight reduction for Board of Directors. We might not be addressing everything in the way people want, but nobody can deny that we are addressing the matters that have been raised at least step-by-step and on the right direction. And with that, I go to the last page, which is the conclusion, financial highlights. I'm not going to repeat the numbers, but 7.7% organic, excluding Argentina, 8.9% total growth, 40 basis points of EBITDA expansion, CHF425 million of equity free cash flow, all ahead of our internal expectations and outlook. A strong start of 2025, don't forget the leap year was 2024, so we are growing at the end of February, 7.7% organic on a comparable basis, 6% reported. Key operational highlights, like some of you, I would like that some of the things we do on commercial and operations goes faster. But we are moving in all the key points in hybrid, in entertainment, in transformation, in digital, in Club Avolta, in smart stores, in everything we're moving. If you ask me, I would like to move faster. But in all of them, we have made significant developments. And you see that on the organic growth. The organic growth for the last two years has been one of the highest consistently in the history, both of the old Dufry and the old Autogrill. So it's working. And shareholders' value. We do share buybacks, we do dividends, and we try to bring governance to the highest possible standards for marketing. And we confirm once more the medium-term targets based on a better-than-expected 2024, particularly on the equity free cash flow. And with that, first, I thank your attention. And now we open the floor for Q&A. Thank you.
A - Rebecca McClellan: So thanks, everybody. We'll go on to Q&A now. We're going to start with the floor. Please introduce yourself before you ask your questions. We'll then go on to the call and we'll end with the webcast. Thank you for that.
Jon Cox: Jon Cox, Kepler Cheuvreux. I have a couple of questions. Maybe to start on the sort of top line dynamics maybe for Xavier, and then a few more questions on the financials. Just on the top line dynamics, a lot of concern in the market yesterday about the slowdown in passengers in the U.S. Maybe you can talk about what you're seeing, what you expect to happen and whether you can -- you think you can offset that this year? And how you're going to offset that if, say, the U.S. is flat passengers all year long, just hypothetically. Second thing, just a load of initiatives and what you're showing there. Can you give us any sort of feel in terms of spend per passenger in terms of where is it actually delivering? Because at the moment, if we just use the passenger growth in your regions, take the weighted average, we get roughly to your top line. When are we going to start to see some sort of acceleration past that passenger number growth with all of these initiatives? On the financial side, for Yves, the model is typically gross margin goes up, concession fees go up as well, offsetting that. Concession fees went down last year. Just wondering what your thoughts are going forward. And on the gross margin, can that continue to go up? And then just below the line, your tax rate came down at the core level quite substantially. Do you think that can be maintained, that rate? I think it was around 22% or something. Same with the interest charges because you seem to be getting a lot of leverage below the core EBIT level. And on my numbers at least, you get sort of mid-20s core EPS growth over the next couple of years, and I'm wondering if I'm being overly optimistic. Thank you.
Xavier Rossinyol: Thank you, Jon. I'm not sure there are any questions left for anybody else, but I will try. Look, it's very interesting, the question on the U.S. slowdown. Let me first make a general remark. Over the last 2.5 years I've been around, every year, every quarter, there has been a major concern, that could be the Chinese, it could be the Ukraine war, it could be the Middle East. And we have over and over given the same answer. We are a very diversified group, and we tend to be very resilient because one region compensates other regions or countries. And people have not believed that until they saw quarter-over-quarter that is actually happening. So it's very interesting because the year-to-date 2025 numbers does already include a clear slowdown in the U.S. And despite that, you cannot see those effects in the consolidated numbers because other regions more than compensated for that. Third, our expectations for the U.S. are actually better on the second half of the year than for the first half of the year. So we think you could see an acceleration in the U.S. from already a pretty low basis in the first two months. On the spend per passenger, it's not that we don't want to disclose. It's a very difficult thing to disclose on a consolidated basis. We look at them per countries, per airports and per nationalities and constituencies. But overall, if you take a comparable organic growth of 7.7% for 2024, and you see that our portfolio of traffic is probably 3.5%, 3.7% for 2024, it means that we have provided another 3.5% or even 4% on improvement on spend per passenger on a consolidated basis. You remember because you always ask me this question, I always say two-third of the improvement of the organic growth should come by passengers, one-third by improvements in the operation. I still believe that's the right average. This year has been better on the improvement on the spend per passenger. Concession fees, yes, it's been a little bit lower, but reality it remains stable because it's also a little bit of a weighted average on the different operations. I think we have disclosed in the past that we expect concession fees to potentially even increase a little bit but much less than it used to be and more than compensated by other lines. And so I think a much larger portfolio. Also thanks to the F&B business that comes with lower concession fees and a different market dynamics, we can maintain concession fees stable, a few basis points up, a few basis points down depending on the weighted average year-on-year. Gross profit margin. Of course, gross profit margin is a factor of the different segments of business, the different geographies and so also can change. But I think this company has proven that with low inflation, with high inflation, it's able to keep a very stable or improving gross profit margin. And the other two questions are for you.
Yves Gerster: Thank you. Thank you, Jon, for the questions. I mean look, on the gross profit margin and the concession fee, we are not guiding for single lines, as you know. And the outlook we can provide and to look into the future is more on the EBITDA margin, where we give the outlook of a 20 to 40 basis points improvement. But look, having said that, we obviously have the ambition to optimize all the lines, be it gross profit margin, personnel expenses or general expenses. And in regard to the concession fee, it's year-on-year flattish or even a slight improvement. As I've mentioned before, that's predominantly coming from a mix effect. We have seen some optimized or better performance in some of the regions and countries or locations where concession fees helped us in that regard. And look, going forward, it also very much depends on the growth in which direction you grow, as you know. If we grow more into food and beverage, we'll probably see a decrease. If we grow more into retail, it's probably more of an increase, but that's also a mix effect. In regard to the lines below the EBITDA margin, look, there in regard to taxes and also the financial result, the financial results is very much driven by the net debt and also the facilities we have in place and the deleveraging with the share buyback we do this year and also the dividends we have started to pay as we are already in the range of the target leverage of 1.5 to 2x. Further deleveraging will potentially not be as pronounced. But look, obviously, some smaller decrease you will see there. And in regard to the tax rate, with the 22%, that's probably rather at the lower end. Also there, we are not providing any guidance, but it's probably at the lower end of what we can expect. I mean it's difficult to say as the number is obviously a consolidated number. It depends on the performance of every single country. And the core EPS is then just the consequence of all of that.
Gian-Marco Werro: Good afternoon. Gian-Marco Werro, Zürcher Kantonalbank. I have a question on your strategy in relation to the conversion ratio but in relation to the stores, not to the equity free cash flow. If you remember at your Capital Markets Day, you wanted to increase the conversion ratio, really bringing more people into the stores. We saw some innovative initiatives. Can you give us a bit more details there about the development of the conversion ratio? If I'm not wrong, one or two years ago, we were at around 20% of all the passengers that you brought into the stores on average. So that would be interesting. On the other side, I would like to also touch quickly on Hainan. They're a big beauty player, also a listed company, spoke quite bearish about Chinese spending on beauty products. And I just wanted to ask your experience and maybe your observation about the current development in Hainan. And last question is on the Club Avolta. If I'm not wrong here, you also aim for sales synergies between your food concepts and also the retail concepts. And I wonder about your experiences now with Club Avolta, how you can really accelerate sales synergies between Autogrill and Dufry stores. Thank you.
Xavier Rossinyol: Thank you very much. Look, conversion like spend per head, spend per ticket, it's something we value or we analyze at location level. Because the weighted average, it is super affecting because you can have a certain profile of passengers spending 5x another profile. But one thing I can tell you, I'm not going to give you figures, sorry to disappoint you, but in every place where we have done, not in every place, in 80% of the places where we do entertainment, we see an uplift on conversion. When we have the new generation of stores with or without hybrids, you can increase conversion 10%, 20%. But of course, to see that on the overall portfolio will take time. But we have no doubt in our mind that doing things, innovating, it's making a difference. What was missing in the past is that it's not enough to try new things. You need to measure them. That's why it's so important to combine the entertainment or the hybrids with the smarter stores because you need to measure what you're doing, really see what it works and then extend it to the other operations. But definitely, conversion is something that you can address doing the right things, which might be different in one place than in another. Conversion in Spain, and I mentioned Spain simply because it's one of the places where we have done the largest actions on refurbishment, it has clearly increased since we started with the new shops. Hainan, as you know, it's not in our consolidated accounts. We only advise one of the players there, so has no material effects on our financials. Hainan did a big drop, as you know, that affects other players last year with daigous crackdown. It remains stable now. Our position with Chinese passengers is the same one that I mentioned earlier on. The spend per passenger has changed structurally to lower levels, but Chinese passengers over time will keep increasing. But I cannot stop saying that, that's only less than 2% of our sales. Soon, Indian passengers could be more important for us than Chinese passengers. Definitely, European, Americans, Latin Americans are much more important for us. So we focus, believe it or not, on priorities. So we tend to focus on those that have the bigger contribution to our results. But over time, they will come back, not at the level of consumption, and it will be a good one. Club Avolta. Look, Club Avolta not only produces or will produce revenue synergies, Club Avolta will not exist, will not be as meaningful as it is already without the merger of Dufry and Autogrill. One of the key features recognized by our Club Avolta members in our research is that they value that is something they can use beyond a typical duty-free store, they can use it in convenience, but they can use it also in F&B. It's also starting providing some data on people that are customers of us in several parts of the portfolio, which allows us to start doing -- it's still very early promotions, targeted promotions. We can do now a promotion to one individual, not a segment or a group, one individual that we know likes certain product because eats that or drinks that, and we can address them a promotion for the duty-free store or vice versa. It's early stages, but it's only one example on how the merger is providing value. Another one super meaningful is the size. We are addressing now a materially higher number of passengers. We are understanding those passengers much better because we understand their behavior on different segments. And if you talk to any high street retailer, they would love to understand what else is happening around their store or their restaurant, and we can have that visibility. So the combination is actually instrumental to all that. The entertainment is also better done and easily done if you do it across food and beverage and retail. So I'm more convinced than ever that the merger has provided upside on sales and equally important, more stable performance because the diversification of our portfolio is allowing us to cope with the geopolitical changes, and these political changes that are happening on a daily basis much better than before the merger.
Gian-Marco Werro: Thank you.
Rebecca McClellan: It doesn't look like we've got any more questions from the floor. So we'll pass this over -- sorry. Here we go.
Laura Bucher: Hi. It's Laura Bucher with Octavian. Just two questions from my side. First, regarding the Aena concession. You faced a bit of criticism in the past regarding that concession. And correct me if I'm wrong, but I think we were under the impression that the terms were not necessarily much different this time around apart from the additional space. So how can -- how did you leverage the additional space so far? I mean, you completed two-third of the refurbishment. And what have you seen an increase in volumes and spend per passenger in that specific concession that makes you believe you've made the right choice when bidding again? And then the second one, you mentioned 25% U.S. tenders in hybrid concept. Can you also give us an idea how it goes in the other geographies?
Xavier Rossinyol: Thank you. As you know, we have a policy for obvious reasons, competitive reasons, not to give margins by countries. I would only say that if you recall, because of the size of it, we disclosed a little bit more on the Spanish market than I would have liked. So as you can research, I'm going to tell you that we told that with the increased offering and increased square meters, we thought Spain could go from negative results to positive results and over time, to the average profitability of the group. I can tell you that we always said it will take two, three years. We are already on the positive side, and we are ahead of the initial expectations. So I can confirm the Spanish renewal was very well done. The relationship with Aena, which is a great operator, airport operator is also excellent at this stage. We mentioned the 25% hybrids in the U.S. simply because the statistics there are better because it's one single market. In the other markets, it's more difficult because you need to sum up bits and pieces, and there is no independent provider of market data. I can tell you that we have hybrids in all the key airports in Spain that as you know, and we are exploring all open opportunities already in Italy, already in the Middle East. I mentioned Brazil, Mexico and in several other locations. So we have about 20 airports where we have already opened hybrids. I want to clarify one thing. Hybrids was an example we gave that the combination could provide new revenues, but not the only one. I mean a bigger network gives you better access to customer data. You can do cross-sells. You can improve the data you have on passengers. And on top of that, you can do hybrids. Hybrids are not going to replace the traditional way of doing business. We'll complement it. We will have pure duty-free, pure convenience, pure F&B and hybrids. Would then be 5%, 10%, 20% of the market, we will see over time. But of course, the advantage is that it's better to be able to address 100% of the market than to address 90% or 80% of the market. That's why we believe hybrids is one piece, only one of many other things we are doing. That is going definitely faster than initially anticipated. Thank you. Jon, question for Yves, please.
Jon Cox: Maybe one for Yves then. Just in terms of your credit rating, if you're down at 1.5 to 2x consistently, you'll be investment grade. Is that your way of thinking as well? Because at the moment, I think we're just one notch, one notch below. Do you assume you could get to investment grade in 2025?
Yves Gerster: Look, in regards to S&P Global Rating, we are one notch below investment grade. In regard to Moody's, it's two notches. Look, for us, it would obviously be great to be investment grade, but it's not our target. So at the end, we follow what Xavi mentioned. There is still growth potential in regards to some bolt-on acquisitions. We want to have an efficient capital allocation policy in line with what Xavi has presented, which also includes dividend and share buyback. And as a consequence, deleveraging beyond 1.5, so further below which is probably required for an investment-grade rating is not necessarily the target at this stage. We believe it would be an inefficient capital structure. So from that perspective, yes, it would be great, but not the target or we will not change anything in regard to the strategy to achieve that.
Rebecca McClellan: Okay. So we'll pass now on to questions from the call. So thank you, operator.
Operator: The first question comes from Dhar Manjari from RBC. Please go ahead.
Manjari Dhar: Good afternoon. It's Manjari Dhar, RBC. I just had three questions, if I may. The first, on the opportunities for bolt-on M&A. I was just wondering what sort of regions do you see the most opportunity? And where do you think that there are still some gaps in the portfolio? And then secondly, on hybrid contracts. I wondered if you could give some color on sort of what percentage of contracts you guys have in the pipeline have some sort of hybrid elements? Maybe what percentage of contracts you think may have a hybrid element in the global sort of air market in the longer term? And then finally, just on -- I appreciate it's early in the year, but on the potential continuation of the share buyback, I just wondered what would be the criteria required for that to be renewed? Would you have to be at some sort of leverage level, lower end or below the target corridor? Thank you.
Xavier Rossinyol: Thank you. So I'm going to give a hint on the regional potential M&A for our competitors to know where we are looking. So we look at Europe, North America, Latin America and Asia Pacific. Unfortunately, I cannot answer the question. Of course, we have our priorities, but you will understand that, that is sensitive information. On the hybrids, look, I don't have in my head how many of the tenders. What is clear, it was zero and now it's much more than that. My guess is in five years, three, five, seven years, 10%, 20% of the market will include hybrids. But not because I'm saying so, it's simply because it makes sense if you look at the traditional structure of an airport to have some spaces where you optimize that. I think three of the four pictures I show included some type of hybrid. But as you know, you need a tender, you need a negotiation, you need a refurbishment, so it's not happening overnight. But the trend is clear. Do you want to take the one on the share buyback?
Yves Gerster: Sure. On the share buyback, I'm not sure if I understood the question right. If your question was related to 2025 share buyback we have announced and the up to CHF200 million, look, the intention clearly is to buy up to the CHF200 million. There is no reason to buy less unless there is some significant disruptions in the market or anything related to that. But please let me know in case the question was not related to that.
Manjari Dhar: It was more on sort of what would be the criteria for the buyback to be renewed into 2026? Would you have to meet a certain leverage level?
Yves Gerster: Of course. Sorry for that. Look, I mean, the criteria has been clearly outlined by Xavi. So if we enter into 2026 and we are in line with our leverage range of 1.5 to 2x, and if we come to the conclusion that there is no growth opportunity, i.e., smaller bolt-on acquisitions which are cash financed as Xavi has explained, then we do intend to return excess cash to shareholders in line with our capital allocation policy.
Manjari Dhar: Very clear. Thank you.
Operator: The next question comes from Natasha Bonnet from Morgan Stanley. Please go ahead.
Natasha Bonnet: Hi. Thank you for taking my questions. Just on the U.S. So you talked about how you have about 33% market share in the U.S. You recently won some big contracts at JFK. So can you tell us where you expect your market share to be in three to five years, what you're aiming for? And then specifically on those tenders, what space contribution does this add? And can you remind us of the dates in which you start operating these contracts and what you expect revenues to be? Thank you.
Xavier Rossinyol: Thank you for your question. I want to make again the disclaimer. Increasing market share in this business might be relatively easy. Keeping a reasonable market share plus providing cash returns is more difficult. Our focus is on cash returns, on making sure that we make the necessary bids on places where we can make the right return. With the wins we are having, probably the market share might increase a little bit, but I'm not going to give you a number because it's not what we are focusing. It was more because we have received questions and some people might have been misguided on that concept, and I wanted to clarify it. Our market share has been between 32% and 34% for the last five years consistently and slightly growing. Of course, with the contracts we have recently signed, it could be even higher going forward. But again, for me, the bottom line is what matters. JFK, I'm not going to give you any detailed figures because we don't do that by tender. But what I think is very important of the JFK Terminal 6, Terminal 8 and Terminal 4 wins is that also we have made very clear to everybody, even some people that believe you cannot win all the businesses, duty-free, duty-paid, F&B and hybrids on the same location that, that's not the case. It's extremely exciting also because those terminals will be fully refurbished, will be practically new terminals, which also will allow us to bring some of the most advanced retail and F&B concepts that there is in the U.S. and globally. So that could be very interesting. On your last partial question, as disclosed, this will be a staggered opening, and most of the effects come only in '26. And the effects in '25 will be rather limited, but '26, '27, it should be a good contribution from the JFK recent wins. I hope I have not mentioned any of the potential new ones. Thank you, Natasha.
Operator: The next question comes from Joern Iffert from UBS. Please go ahead.
Joern Iffert: Thank you for taking my questions. And hello. I would take them one by one, would be three in total, if this is okay. The first one, can you give us more insights and details with what kind of passenger groups you are growing? Is it the younger generation? Is it the more aged generation? Are there big differences in the product category demand? Maybe to start with this question, please.
Xavier Rossinyol: I like more when you ask several questions because then I can answer. Look, one of the -- no, no, it's okay. One of the strengths of Avolta is the access to information. And to be able to answer questions like that you ask, but precisely is one of our core competitive advantage because we have more data and more granular data than anybody else in the industry. So I always feel we should not be sharing this information because then I find some of our competitors using some of the things we do, we say in tenders. We have a target, a clear targeted audiences, depending on the airports. It's not the same thing, a domestic than international, a transfer or a point-to-point airport. It's not the same, one airport in the south of Europe, that one airport in the Nordics or in the middle of the U.S. And for each of those airports, we have targeted ambitions, but I would rather not be very explicit on what we do specifically. So we go to your second question, if that's okay, Joern.
Joern Iffert: Of course. Thank you. Then maybe two questions more for Yves. When I go a little bit into the financial details, your professional advisory fees around CHF150 million, so quite a meaningful portion of the total underlying cash flow. Of course, you need to put this in the context of the revenues also. But my question is with now the Autogrill integration finished, is this line coming down meaningfully maybe to around CHF100 million because it could be easily 10% net income accretive?
Yves Gerster: So look, Joern, in regard to -- and that's general expenses, right? But in regard to general expenses, I cannot give you specific details and guidance to that line and not to the details of that specific line either. So that's going really into the details. Look, to assume that this number comes down meaningful by an amount you have mentioned, I think that's unrealistic. So it's always a combination of different things. We, as any other company, we require some advice, and we require some support in regard to all the initiatives Xavi has outlined, the innovative concepts, which will drive revenues on the one hand side and then also profitability going forward. And that's part of our DNA and part of the things you need to do to manage a business like that.
Joern Iffert: All right. And then the third question, sorry, it's again a single line item, but a very important one, I think, it's the interest income, which was around CHF93 million. So net around 20% of the underlying equity free cash flow. What is actually behind it? Why was it up so strongly? I mean it's not only related to the rising yield curve, but what's behind this very high number? And is it sustainable going forward?
Yves Gerster: Well, I have to say very well spotted. So basically, the underlying topic there is to keep it simple, a swap transaction in a specific country, which on one hand side, has increased interest expenses, and as a consequence -- sorry, FX result positively and as a consequence, interest income -- let me rephrase that. Interest income positively and FX effect negatively. So net, it's absolutely zero. So that's no impact. The CHF30 million you're mentioning, the increase from '23 to '24 by CHF30 million net on the financial result, the impact is zero. It's just in two different lines, FX on one hand side and interest on the other side.
Joern Iffert: So it's net cash zero, not only P&L is zero, right?
Yves Gerster: It's -- well, it's net P&L zero. On the cash flow, it has an impact, a positive impact this year because you have the cash flow on one hand side, and it's an unrealized impact there, so it's on one side only. But in the medium term or basically, if you look at the whole product itself, the effect on both sides on the P&L and the cash flow are zero.
Joern Iffert: Okay. Thank you very much.
Operator: The next question comes from Jaafar Mestari from BNP Paribas. Please go ahead.
Jaafar Mestari: Hi. Good afternoon. I have three questions, if that's all right. The first one is on the U.S. where I'll have to ask for more color, if possible, on what you mentioned as the January to February current trading figures already including a clear slowdown in the U.S. Any color on specific channels, specific types of airports or flights that you can highlight here? Secondly, on cash conversion, 33.5%. This is a new base for further improvement going forward. However, this year, CapEx was a little bit below your medium-term guidance, which I don't think has changed. If it was 4% instead of 3.5%, that would be around CHF60 million. That's meaningful. So curious which other areas you think can improve meaningfully to still allow you to improve cash conversion even with potentially higher medium-term CapEx? And lastly, in terms of net contract gains, in the last 18 months, there hasn't really been a clear direction, sometimes slightly positive, sometimes slightly negative with the integration really complete. I don't want to steal anything from your June Capital Markets Day, but what is your ambition in terms of not strictly market share per se, as you highlighted, but overall, just growing the portfolio of contracts? Should it be a meaningful positive in the medium term? Thank you.
Xavier Rossinyol: Thank you. I'm thinking if I should or I should not give more specific color on the U.S. because I'm very reluctant. If you go to regions, month, then you go to weak countries, airports, et cetera, and I think we need to have a little bit more perspective. So U.S., January, February has been clearly below the average, materially below the average. But said that, you still see that the total growth in January, February, if you take into consideration the leap year is actually continues being very strong like in the last quarter of 2024. Can I give the amount of the U.S. or North America or not?
Yves Gerster: The numbers specifically?
Xavier Rossinyol: With one condition, you will never ask again because I'm not going to give you regional information per month going forward because I don't believe that. So...
Jaafar Mestari: Let's agree that right now, there's particularly big concerns around this, so perhaps just an exception.
Xavier Rossinyol: Thank you. So it's more depending if you look at January, February or depending on the weeks, it moves to a growth of around 1% to 2% instead of the 6% average, which means that the other regions have done much better than that. That's why we are optimistic because we believe we are already on a certain floor and going forward, that will improve. I will take the new concessions and then Yves will take the CapEx. On the new concessions, look, it's very difficult to give a guidance per year. I'm happier with the guidance in every -- in two, three years. And that, I think, new concessions on new business should contribute at least in the range of 1% on average. Some years could be zero, some years could be half, some years could be one, some years could be 1.5. We will see. CapEx is for you.
Yves Gerster: Thank you. So look, Jaafar, in regard to CapEx, yes, we had '23 -- the financial year '23 and '24 with 3.5% of CapEx. Our medium-term guidance is 4%. Well, actually, we guide for equity free cash flow conversion. But look, at the end, the 4% we have mentioned in the past still holds true. But I'm not sure if this is that relevant. Again, the number we are guiding for is the equity free cash flow conversion. And to answer your question, where we see some potential to improve even in a year where CapEx is slightly higher, look, I think it's pretty straightforward. I mean we have, on one hand side, the deleveraging, which in the medium term should lead to lower interest expenses. Also, the CapEx, why it is 4% over turnover with the -- technically, with the improvement of the EBITDA, that should help also technically on the conversion. And then lastly, I mean, we have seen this year, if you look at the trade net working capital, and I've mentioned on the balance sheet, the inventory, an increase of the inventory by CHF200 million. Now the growth of the business justifies part of that, but not the entire amount. So also from a net working capital perspective, there might be some improvement potential. So what I want to say with all of that is basically, even the fact that CapEx was not at 4% going forward with the new base of CHF425 million, we are convinced that we can improve the equity free cash flow conversion by 100 to 150 basis points per annum in the medium term.
Jaafar Mestari: Thank you very much.
Operator: The next question comes from Tim Barrett from Deutsche Bank. Please go ahead.
Tim Barrett: Hello. Hi, both of you. I had two things left only, please. Firstly, I think you gave the retention rate for North America. I don't think you gave it for the group overall. So I'd be very interested in where that is currently. And secondly, on category performance, obviously, there's the note in the accounts. But it looks like double-digit growth for F&B, low single digit for duty-free. Is that correct? And any comments on category? Thanks very much.
Xavier Rossinyol: So the retention rate is very similar across the regions, 85% to 95%. We mentioned North America specifically because some people have been throwing incorrect data around, and we wanted to clarify, but it remains very strong in all the regions. On category performance, I mean, this is basically depending on the different market evolution. We keep growing all the segments. We keep growing all the categories. And I received a question by a journalist a month ago. And I said, look, the beauty of our business is that we don't manufacture anything, and we can adapt to the taste of the passengers. So the categories could be different. The products could be different, could be more global, more local. We can change the brands. We had to make a clarification a year, 1.5 years ago when one of our key suppliers gave some data and people thought that our sales will be affected. And again, our sales were not affected because instead of selling x product, we were selling another one because when one product goes off fashion. So we are growing all the categories. We are growing the different segments. Of course, we have targets at the beginning every year. We don't disclose those because that will be overwhelming information, but we remain very happy with all the segments at this stage.
Tim Barrett: Okay. Thank you very much.
Xavier Rossinyol: Thank you.
Operator: The last question from the phone comes from Ali Naqvi from HSBC. Please go ahead.
Ali Naqvi: Hi. Thank you for taking the question. Xavi, just on the U.S. market share. I know you said it's not about market share, it's more about cash returns, but the fact that you have to keep some scale there. So specifically in that market, how do you address the fact that you have high market share relative to all your peers, and that is going to be at risk? Do you expect the market share to reduce over time, notwithstanding the JFK contracts? And how do you address that criticism for that market specifically? And then Yves, since Xavi has brought up cash returns, could you just break down in more detail what the group return on capital employed is and how that has trended over the last couple of years? And then finally, on current trading, just with respect to the U.S., what gives you confidence that you will see improving trends over the course of the year? And what is the price and volume mix of current trading, please?
Xavier Rossinyol: Look, again, I'm going to answer the question because you asked. Market share is not a key performance indicator for us, but it's very simple. Some people assume that if you have one of the players in the industry that win some business, that business comes from the leader. This is a completely misconception. You can have 33% go to 34%, and somebody else could go from 5% to 10%, but growing that business from the smaller players. On top of that, sometimes people do not fully factor that the market grows, not only a number of passengers or number of terminals or number of square meters. So sometimes, new business wins is simply new market size, not the market share. I wanted to address the market share because there has been clear misguided information. I have the data for segment by segment for the last five years, and our market share has not been negatively affected, not in duty-free, not in duty-paid, not in F&B. So if somebody wins business, it's not from us, it's from somebody else. JFK, we typically don't mention a lot with this level of detail, but the three wins in JFK Terminal 6, Terminal 8 and Terminal 4 are very material and are very fundamental. And it shows that we not only keep the leadership but maybe we are increasing that leadership because our offering is perceived by some of the leading airport developers as a very strong offer. And sorry because the line was not perfect, I'm not sure I understood your second question. I understood something on returns.
Yves Gerster: Cash returns. What are the cash returns when it comes to project? That's what I understood.
Xavier Rossinyol: Okay. Look, again, most of our competitors are private. So if I give you our cash return expectations, if you are an insider in the business, you could kind of expect what are going to be our offerings. So we don't disclose that on per project basis on a specific target for the market, not because I don't want to, because it's competitive, sensitive information. And the last question, the confidence in the U.S. Look, October, November were weak months. December was strong. January, February have not been great months. March is not expected to be a great month. But our basis is not a feeling. I don't wake up and I say, okay, I feel that things are going to be better. We look -- our teams look at bookings. They look at expectations for the high season that is summer, and we believe the behavior for the remaining of the year would be stronger than the beginning because the beginning has been really weak so far. Said that, we are prepared on any eventuality. You need to remember that the two main cost we have are concession fees, which are typically a percentage of sales and personnel cost. And the personnel cost is largely sales forces. So if we need to adjust the cost base as we have done in every place, we've done that in the Middle East last year, we did that in Asia because of the Chinese, and we will do it in any geography that it needs to be done. So even if there is a slowdown on the sales in any geography, our capacity to mitigate that on the returns and on the margins, it's much higher than in other type of business. Of course, we are not 100% hedged on anything that could happen, but we can manage margins despite -- even if sales are not exactly as expected. But our forecast is the U.S. will improve in the second half of the year.
Ali Naqvi: Great. Thank you.
Xavier Rossinyol: Thank you.
Rebecca McClellan: Okay. We've got five questions that have come through the web, which I'll ask one by one. And the first one is regarding Aena. Did you pay MAGs or a variable percentage based on sales in 2024? If MAGs were paid, how is this possible given the record levels of tourism in Spain?
Xavier Rossinyol: Unfortunately, because of confidentiality, I cannot disclose that. We have very strong confidentiality clause with all our contracts with the airports. The only thing I can say is what I said. We said we will go from negative to positive results. And I already said we are ahead of our own plans, so we are very happy with the performance.
Rebecca McClellan: The second question is, would you consider replacing the 2026 convertible bond with a new convertible bond?
Yves Gerster: So look, we are currently reviewing the strategy of the refinancing, and you will hear from us quite soon about the products we intend to use and how we plan to refinance that, which is most likely probably a combination of different products. But what I can already tell you now is that the convertible is probably not what we are going to use. But the answer is no.
Rebecca McClellan: The third question is, would you consider measures such as a partial disposal or a joint venture to try and lower the share of tobacco in order to widen the pool of potential investors?
Xavier Rossinyol: I didn't understand. Sorry, I...
Rebecca McClellan: Would you consider measures such as a partial disposal or joint venture to try and lower the share of tobacco in Avolta?
Xavier Rossinyol: I don't think you can. It's -- we don't have a separate business of that. We are not a distributor. The question doesn't make too much sense to me. I mean it's part of some shops sell tobacco. You cannot carve that out. It's physically impossible. So the answer is no, but not because we don't want, simply because you cannot do it. It doesn't apply to us. That could apply to distributors or something which we do not do. We are a retailer.
Rebecca McClellan: The fourth point is there's been a new sentence by the Supreme Court in Spain related to the concession with Aena that could translate into an important impact against Avolta. Can you add any color?
Xavier Rossinyol: There will be no expected impact of any of the publications, all interpretations by journalists of some court cases. So there will be no expected impact on anything that is happening on that side.
Rebecca McClellan: And the final question is, how do the Autogrill highway assets presently fit into your strategy?
Xavier Rossinyol: I answered that question in the past. The highway or motorways, it's part of our business for Europe, particularly in Italy, it's a strategic asset. It's about 10% of the total sales is here to stay. And what we're doing like with any other part of the business, try to optimize it and to bring it to the average profitability of the group. Of course, we all know that the growth in motorways is slightly lower than at airports, but it's a good business, very well run. We are very happy with the local team that manages that business.
Rebecca McClellan: Okay. That's the end of the question-and-answers.
Xavier Rossinyol: Thank you very much, Rebecca. And therefore, we thank you for coming all the way here or joining us by call. And it's 4:00 sharp, amazing. So thank you very much. I hope we have some refreshments outside for the people here. And thank you for your attention, and we conclude now here. Thank you.